Operator: Welcome everyone to the Fourth Quarter 2015 Greatbatch Incorporated Conference Call. Before we begin, I would like to read the Safe Harbor statement. This presentation and our press release contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and involves a number of risks and uncertainties. These risks and uncertainties are described in the company’s annual report on Form 10-K. The statements are based on Greatbatch Incorporated’s current expectations and actual results could differ materially from those stated or implied. The company assumes the obligations to update forward-looking information, included in this conference call to reflect change assumptions, the occurrence of unanticipated events or changes in future operating results, financial conditions or prospects. I would now like to turn the call over to today’s host, Vice President, Business Development and Director of Investor Relations, Tony Borowicz.
Tony Borowicz: Thank you, Karen and hello everyone and thank you for joining us today on our fourth quarter 2015 earnings call. With us on the call today are Thomas J. Hook, our President and Chief Executive Officer and Michael Dinkins, Executive Vice President and Chief Financial Officer. As we have done in the past, you can go to our website and see our slide visuals that will accompany this presentation, and afterwards these will be on our website at greatbatch.com for future viewing. Once Tom and Michael have completed their presentations, we will then open up the call for Q&A. Note that both Michael and I are available to take questions following this call. You can reach me on my mobile afterwards. So, let me turn the call over to Tom Hook.
Thomas Hook: Thanks, Tony. Starting on Slide 5, 2015 marks the completion of several key strategic milestones. At the top of the list was the completion of the transformative acquisition of Lake Region Medical. The acquisition is highly complementary with few overlapping products between the company and was strategic for many reasons. First, it expands our full medical device capabilities by expanding our product offerings in vascular and orthopedics. It also expands our reach into the advanced surgical market with a portfolio of minimally invasive devices used in laparoscopic and drug delivery applications. Second, the acquisition has significantly expanded our global manufacturing footprint. This increased scope and scale presented tremendous opportunity to leverage the expertise of both companies. Third, we have a much broader and diversified revenue base which will provide a greater opportunity to extend our partnerships with our OEM customers. And then fourth, the medical device market is growing approximately 4% annually with many sub-sectors expanding at an accelerated pace. Our OEM customers have had to minimize supply chain and regulatory risk by focusing their supplier base of higher quality partners. And additionally, clinical market pressure is driving OEMs to reduce costs which drive outsourcing demand. The second major milestone was obtaining an original FDA PMA approval for our Algovita spinal cord stimulation device. This represents the culmination of 7 years of dedicated effort by the QiG Group and Greatbatch teams. This active and final medical device targets the 100 million people who suffer from severe and chronic pain. We are proud to be one of the handful of companies in the world that is capable of developing complete active implantable medical device systems analysis. Obtaining PMA approval has enabled the spin-off of the technology into the standalone publicly traded company which will be called Nuvectra trading on the NASDAQ Exchange. I will talk more about the timing and merits of the proposed spend later in the presentation. In addition to these two milestones, we have made several key strategic investments that significantly enhanced our manufacturing capabilities and performance. Most notably, we increased our manufacturing output at CCC Medical Devices in Uruguay’s fivefold during 2015 to cost effectively meet increased neurostimulation customer demand. It was a remarkable group effort. Another example of what this company is capable of accomplishing. We also expanded our manufacturing capacity in Tijuana, but most importantly, we sustained our culture of quality and continuous improvement. 2015 was a transformative year. And as a result, we are now in a much stronger position for sustained long-term growth. On Slide 6 and turning to Nuvectra spin-off, as previously discussed of a spin-off Nuvectra in March. Nuvectra common stock will be distributed on March 14, 2016 to Greatbatch stockholders of record as of the close of business on March 7, 2016. Greatbatch shareholders will receive one share of Nuvectra common stock for every 3 shares of Greatbatch common stock. Nuvectra will begin the launch of their investor roadshow on Wednesday of this week in New York City and we will be in Boston on Thursday. The following week, they are scheduled to have a series of investor meetings covering the Mid-Atlantic, Midwest and West Coast. At the completion of the roadshow, Nuvectra is expected to begin normal trading on March 14, 2016 on the NASDAQ Stock Exchange under the trading symbol, NVTR. Nuvectra will provide many benefits to GB shareholders: first, the dividend of Nuvectra shares who are Greatbatch shareholders; second, reducing Integer’s future operating expenses of up to $16 million in an annual basis; and a long-term manufacturing agreement toward the neurostimulation systems. It is important to reemphasize we will continue to have full medical device capability resident inside Integer post-spin. We will retain CCC Medical Devices in Uruguay, which will partner with OEM customers to develop full medical device systems. We plan to continue to expand our capabilities across the Integer organization to enhance this strategy and drive long-term growth of the company. On Slide 7 providing an acquisition synergy plan update, at the top of our priorities for 2016 is the successful integration of legacy Greatbatch and Lake Region Medical into one single cohesive company which we will rename Integer. Our most important objective is to maintain our culture of quality and continuous improvement motivating our associates to excel and partner with our customers to improve patient lives. A priority is to reduce the debt leverage ratio. To that end, I am pleased to report that the integration is well underway and we are exceeding our initial expectations. We have clear line of sight to the $25 million in annual savings targeted for 2016 and our long-term goal of synergies of at least $60 million over the next 3 years. Our near-term savings are driven by organization staffing changes, most of which have already been implemented. The next tier of savings is our indirect spend from the consolidation of our supplier base in order to leverage our purchasing volume. Looking forward, we now have 30 plus manufacturing facilities across the globe. Our longer term focus will be on optimizing this manufacturing footprint and implementing process improvements to leverage our combined expertise. Overall, our primary focus will be to integrate our cultures and operation into a single integrated entity that maximizes opportunities we have to deepen our partnerships with customers, improve our operating results and sustain a great work environment for our associates. A key to the success will rest with the new Integer leadership organization. We have a lighter structure to grow our medical device and component sales. Additionally, we will continue to rationalize our manufacturing facilities to drive our medical segment profitability. Each of the three product categories within our medical markets have dedicated sales, marketing and research and development teams, manufacturing and supply chain, quality and regulatory and ethics and compliance will each operate its global functions across leverage capabilities and harmonize systems across the company. On Slide 8, the new leadership team that will be responsible for executing our strategic plan will consist of a combination of legacy Greatbatch and Lake Region Medical executives. Mauricio Arellano will continue to manage our global manufacturing operations. Mauricio successfully led [indiscernible] integration while at Greatbatch and will assume the leadership role along with Chris Ahlers for the lead integration of the Lake Region Medical. Joe Flanagan will lead Integer quality and regulatory functions. Kristin Trecker is new to Integer. She will serve as our Executive vice President and Chief Human Resources officer and will take the lead role in creating and integrating company culture. Michael Spencer also new to Integer will lead the implementation of unified ethics and compliance system across the company. Michael Dinkins will continue to serve as our Executive Vice President and Chief Financial Officer and will focus on our objectives of deleveraging the balance sheet as fast as possible. We created four new President positions aligned around our for product categories. Each President will be responsible for driving revenue growth for the respected product categories. Two of the presidents, Tony Gonzalez, Cardiac Rhythm Management and Neuro and Jennifer Bolt in Electrochem were promoted into these positions. Both Tony and Jen have previously served key operational roles within Integer and will bring a wealth of experience in driving revenue and profit improvement initiatives. The remaining two presidents were former Lake Region Medical executives, Jeremy Friedman will have responsibility for the Cardio and Vascular product category; and Declan Smyth will assume responsibility for the Orthopedics and Advanced Surgical products. Both Jeremy and Declan have similar positions at Lake Region Medical and also bring a wealth of market experience and have developed deep partnerships with our customers. On Slide 9, in 2006 we launched the medical device strategy and over the course of the next 9 years, we have transformed the company from a $320 million primarily cardiac rhythm management components company to a $1.4 billion fully integrated medical device company. We acquired ten companies over this period and successfully integrated these businesses into one unified company. We have a proven track record of integrating organizations. I am highly confident that this new Integer leadership team, along with our nearly 10,000 associates, have the drive and skill set to advance our medical device strategy and create long-term value for our shareholders. I will now turn the call over to Michael to cover our financial results.
Michael Dinkins: Thanks Tom and good afternoon everyone. My comments today will include our operating performance and balance sheet metrics. We are not providing guidance updates. The January 11 guidance still stands as of January 11. Before I begin, I want to take a moment to discuss our updated metrics. Beginning third quarter 2015, Greatbatch reported adjusted diluted earnings per share excluding amortization of intangible assets. This change aligns Greatbatch metrics with other medical device properties. Secondly, adjusted EBITDA has been refined to exclude stock-based compensation from this metric. A table in the earnings release outlines GAAP EPS and EBITDA to adjusted diluted EPS and adjusted EBITDA for both the quarter and total year. Turning to Slide 11, we have a summary of our fourth quarter revenue performance. The fourth quarter was a record quarter for legacy Greatbatch. We have advanced organic revenue growth of 7%, primarily because of growth in our neuromodulation. As you know, we began several years ago to focus on developing full medical device systems for the neuromodulation market where we had virtually no strength. We expect continued success because of the growth of the existing customers and the prospects of the 15 customers that are in various stages of approval. Although we delivered a very strong quarter, we did miss our expectations, primarily because of drivers that impacted our total year performance. End of life products with our CRM customers, inventory reductions by the same customers, delays in your product introductions, change in customer market shares that negatively impacted sales and although we did see some buy forwards [ph] of products for vascular and portable medical and advance of the startup production in Mexico it was lower than expected. We had a 7% organic growth quarter and successful with meeting the demand of a growing neuromodulation customer. We know that the drivers of the shortfall are not the product categories that we expect to lead our future growth neuromodulation, cardiovascular and orthopedics. So we continued to be challenged with near-term growth. We are excited about our long-term revenue growth prospects. Turning to Slide 12, I want to highlight two things. First, we were able to leverage our neuromodulation revenue growth to the bottom line as shown by the $0.29 upside from legacy Greatbatch gross profit. And second, Lake Region Medical is performing as planned and their operations contributed $0.57 of upside. As expected, including the impact of the incremental interest expense, their share count makes Lake Region Medical $0.08 diluted for the quarter. Slide 13 shows our total year results. Sales decreased 2% on a constant currency organic growth basis. Medical product sales increased by 1% on a constant currency organic basis, while our Mexican sales declined by 27% year-over-year due to the downturn in the imaging market. This lower imaging market demand, coupled with the headwinds we experienced with our CRM customers, were the main reasons for the decline compared to last year. This other key item that jump out is the $0.40 contribution because of lower performance compensation. Our compensation is tied to achieving our goals of 5% organic growth in 2x with the bottom line. As soon as we fell short of our goal, our performance compensation worked as planned and resulted in a lower payment. As stated when you looked at the fourth quarter slides, we were pleased with the performance of Lake Region Medical and as Tom mentioned, the integration of our cultures and achievement of synergy is going very well. Slide 14 outlines key balance sheet metrics. We are very aware that the interest carry of Lake Region and a negative Greatbatch organic growth has taken our ROIC below an expectable level and that is the reason why we are focused on realizing our synergy targets and using the cash flow to pay down debt so that we can improve our ROIC while sustaining our R&D efforts to improve our future revenue performance. The decline in operating cash flow is driven by higher than other operating expenses, primarily because of acquisition costs, integration efforts and the expansion of our Mexico facility. Cap expenditures of $46.6 million for 2015 reflect investments in our manufacturing facility, principally in Mexico and France. On Slide 15, we secured $1.760 billion for the financings [ph] of Lake Region Medical. The financing structure is outlined on Slide 15. We have clear line of sight to the committed acquisition strategies that we believe we are able to service our debt and delever the company to 3.5x to 3x over the next 2 years to 3 years. I will now turn the call back over to Tom Hook to introduce Integer.
Thomas Hook: Thank you, Mike. In May of this year, we will formally change the name of the company to Integer. The Integer name signals the transformation we have made to becoming the world’s leading medical device outsource partner. It is only appropriate and we re-brand ourselves to reflect a single, unified, complete medical device system company we would become. On Slide 17, you can see with our global presence and proprietary product offerings we are positioned to deliver everything from critical components to full systems to enable both emerging and established OEM customers to succeed. Again, it is worth noting that we can enable both the emerging set of companies and well-established OEMs. The investments we have made in our quality systems, global supply chain and proprietary product portfolio are difficult to replicate and has clearly distanced ourselves from our competition. And Slide 18 highlights that Integer’s revenues diversified across the four product categories. Our largest product line is cardio and vascular which provides a 39% of our total company sales. Within this market, we have the strong growth areas associated structural heart and neurology. We estimate market growth in this category to be around 5%. Advanced surgical and orthopedics market represents 29% of our total sales with market growth at approximately 3% to 5%. Cardiac rhythm management and neuro represents 28% of total sales with the slower growth CRM market comprising approximately 20% of our total company sales. The CRM market growth is flat with neuro demonstrating 6% to 8% growth. Our non-medical Electrochem business rounds out the remaining 4% of sales. This market as we all know is down to 30% for the year and is expected to remain flat in 2016. On Slide 19, in summary you can see we believe we are now well-positioned to grow alongside our customers. We have expanded our medical device capabilities which will facilitate customer innovation. We have the scale and global presence which is supported by our world class manufacturing quality standards. We remain true to our vision to enhance the lives of patients worldwide by being our customers’ partner of choice for innovative medical technologies and services. To conclude, we are confident in our ability as one of the largest outsourced medical device manufacturers. We will continue to create shareholder value by enhancing the lives of patients worldwide by being our customer’s partner of choice for innovative medical technology and services. I will now turn the call back over to the moderator who will take your questions and answers.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Charles Haff from Craig-Hallum.
Charles Haff: Hi, thanks for taking my questions. My first question is on the guidance for 2016. Did I hear you right that you are suspending your guidance that you gave on January 11 or what is that exactly?
Michael Dinkins: No, we are not suspending our guidance from January 11. That guidance as of January 11 still stands. We are not providing a new update guidance on this call as we work through the process of integrating Lake Region and Greatbatch and our Presidents have been in position for approximately 1 month.
Charles Haff: So, you are reiterating the guidance that you gave on January 11 then?
Michael Dinkins: No, the guidance on January 11 still stands as of January 11.
Charles Haff: Okay. And then I heard you say that you had 28 facility – I am sorry, 30 facilities and then when you announced the deal with Lake Region on August 27, you said you had 28 combined facilities. So, did you add two additional facilities?
Thomas Hook: Some of the facilities as you know, Charles, are in transition right now due to some of the consolidation projects. So, we have with three facilities right now in a state of manufacturing wind-down, the Arvada facility, the Beaverton facility and pieces of the [indiscernible] facility. The number we gave today includes those even though they are on the tail of winding down. And overwhelmingly, those productions have transferred. There is still some limited production there just to support customer regulatory changeovers for the various entities outside the United States for inventory builds. And so the two numbers are the same, just one includes the transition facilities, one did not.
Charles Haff: Okay. And then my last question and I will jump back in the queue here. For CRM neuro, did I hear you right saying that CRM, you are expecting that to be flat or it is currently flat and neuro is at 6% to 8% – or I didn’t catch the time period that you are referencing there when you said flat and 6% to 8%?
Thomas Hook: That would pertain to our view of neuromodulation is the 6% to 8%.
Michael Dinkins: Market growth.
Thomas Hook: From a market growth.
Michael Dinkins: Right. And then our CRM view is that it will be flat.
Charles Haff: For market growth?
Michael Dinkins: For market growth.
Charles Haff: Okay, thank you.
Operator: Thank you. And our next question comes from the line of Glenn Novarro from RBC Capital Markets.
George Santo: Hi, guys. This is George on for Glenn. Thanks for taking my questions. I wanted to start with CRM. I appreciate that you are not going to give out any signal level guidance for 2016, but qualitatively can you help us understand what level of growth we can expect from that business in 2016?
Thomas Hook: George thanks for the question. I think is where we are at right now on category management is from a historical perspective, we have all of our customers on long-term agreements and deep partnerships. However, as our end customers are adjusting their inventories what they have in the timing of new product introductions has changed slightly. It’s had an effect on us as well as some of the share shifts that have occurred. So, we are not really prepared to provide any additional color at this time with regards to category management, but we absolutely understand as we go forward we finished our top customer means with each of those category management customers. We will be updating our fourth quarter view in the future, but right now, we just don’t have any new information to report and don’t have any segment detail to give you any more detailed guidance at this time.
George Santo: Okay, thank you. That’s helpful. Now, that you have closed this deal and you have a bigger presence in several growth businesses, including neurostim and some segments of vascular, but you also have Electrochem, which is expected to continue to be a headwind in 2016 given what’s going on in the energy space at the moment. Can you discuss your strategy in that business this year? What kind of level of growth can we expect there? Are you still seeing struggles in the end market?
Thomas Hook: Well, certainly Electrochem is in a market because it has a large majority of this business in the oil and gas market. It’s going to suffer from those headwinds. However, I would also say that it’s a very good time for strategic repositioning in that market to do more for our customers. So, somewhat paradoxically while the market is down and that flows through to us, there is also the same time with our key oil and gas services customers that are looking for cost reduction strategies, we actually can do more for them. In other words, they can outsource more to us. So, we could do more work for them, that presents us growth opportunities in the next couple of years. So, we plan on leveraging those. We are not prepared to provide any detailed guidance with regards to our outlook yet, because we are meeting with those customers, but I think for public information that I disclosed in our customers in that segment, the oil and gas services companies. You know they are aggressively cutting cost in outsourcing right now and we feel that we are really nicely positioned in Electrochem to pick up that work. And obviously we don’t suffer from the regulatory headwinds of the medical device markets in being able to pick up that work. So, it’s much quicker than outsourcing. So, we expect to have some ability to mitigate the market pressures that we have seen that have hit the Electrochem business on the top line and reposition that for other growth opportunities even though the market is down. We will provide more information on that as the year moves on.
George Santo: That’s helpful. That’s all for me. Thank you.
Operator: Thank you. And our next question comes from the line of Matt Mishan from KeyBanc.
Matt Mishan: Hey, good evening and thank you for taking my questions.
Thomas Hook: Good evening.
Michael Dinkins: Good evening.
Matt Mishan: Hey, guys. I think people generally understand you are going through two major events with integration of Lake Region and the spin of Nuvectra. Just my question for you on the guidance, has anything changed for the better or for the worse since you have given guidance on January 11? And then why should we have confidence in the January 11 guidance?
Thomas Hook: Matt, this is Tom Hook. Thanks for the question. Is where we stand is the business strategically obviously is we are becoming very highly focused as a medical device outsourcing partner for our customer. At the same time, we have combined really the top two medical device outsourcing companies, combining product lines. There is a lot to interface with our customers on from a strategic and a project perspective. And in many times, we are taking portfolios in which we each made half of the portfolio for customers and now we are entertaining doing larger subassemblies and complete devices for customers going forward. So, I don’t think there is a lot of new opportunities. So, strategically, the deals a big win. Actually, spinning out Nuvectra provides much cleaner focus with regards to our customers as it pertains to serving our customers medical device needs and not commercializing medical devices into the market directly. So, we are going to partner through our customers. So, there is a lot of moving pieces with the spin as well as the combination of these product lines. Everything we have seen in terms of our initial guidance for the year is following through per our expectations. We still have a lot of work to do in terms of identifying each individual specific product lines and since the product and board presidents are in place for only about a month, there is still a large work in progress. And we will come back once we have all that digested and we will provide updated information in the future. So, as of the January guidance, we are staying with it and then we will update it in the future once we have completed more of these leadership integrations and we have had all of the top customer meetings to bracket all the opportunities and we will be able to provide more color at that time.
Michael Dinkins: And in regards to the confidence in the guidance we recognized that nothing we say is going to re-win our confidence. So, we recognized we have to execute that we watch people have confidence in our guidance going forward. So, that will be our focus.
Matt Mishan: Okay, got it. That’s helpful. And then with the management team of Nuvectra going on the road and talking to investors beginning on Wednesday, can you maybe talk a little bit about the valuation you are expecting for the spin?
Michael Dinkins: I think in terms of the valuations, we will let the market determine that. We are quite excited about the products that we are bringing – that they are bringing to the marketplace and that we will be manufacturing for them. But there is a lot of different factors that come into how a startup company will be valued and we will let the market speak on that, but we are encouraged and think that we are bringing very great products to the marketplace led by our leadership team that many of the leaders, including the President [indiscernible] to the marketplace and have experience in doing this before. So a great leadership team and what we think and we are probably biased there as great products.
Matt Mishan: Okay. And then last question for me would be on free cash flow expectations for 2016, what should we expect in 2016 for your ability to generate cash and repay debt. And then what would normalize – what do you think would normalized free cash flow for this business, what do you think it’s going to look like?
Michael Dinkins: The way that the working capital worked for Lake Region is not materially different than it is for legacy Greatbatch. And I am not surprised by that because we are selling to the same customers. So although we are not providing guidance at this point in time I think if you look at our historical run rate of our cash flow that’s where I would be. But I would note that there are two things that would impact that in terms of our pretax growth. So I think we would be in line with historical performance, minus the $75 million that we will be putting in the initial capital from Nuvectra and minus roughly around $50 million to $60 million that we will spend executing the synergies that would drive future synergies for this business in 2016. So adjustment of those two historical rates and I think you can get a feel for our cash flow. We think we can enter 2017, if we execute on our synergies way above our historical cash flows and be able to start paying down our debt at that time.
Matt Mishan: Okay, great. Thank you very much guys.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Greg Chodaczek from CRT Capital.
Greg Chodaczek: Thank you. Tom, Michael talked about looking back in 2015, citing inventory reductions, delay in products, end of life, change in market share, I guess my first question is you have a long-term contracts with most of your large OEM partners, did you see that coming, I mean based on these long-term contracts and I know you can’t talk about what’s exactly in those contracts, but can you help us understand those a little bit and how this crept up on your in 2015?
Thomas Hook: Yes. Well, I think is – Greg one thing I can help is kind of the big strategic transition here. We bet heavily 7 years, 8 years ago on neurostimulation. We have obviously seen the maturation of cardio rhythm management markets as it applies to legacy Greatbatch coming. And we made investments entering into higher growth areas. So we are starting to see that neurostimulation market emerge, it comes slower than we have wanted. We have seen some of the effects of the flattening of the cardio rhythm management markets from our perspective. Products at a clinical basis are more commoditizing less technically differentiated. Our customers are very focused on costs. We are in deep partnerships with all five of them, but as we cost rationalize components out as they are tighter on inventory paradoxically because we are performing for them, it puts a lot of pressure on our revenues. And it’s not being replaced by neurostimulation opportunities that at same rate, so it presents a bit of a delta in this. So some of these things we have seen, some of them are in the market share shifts in the clinical markets, because we have original mixes with certain customers that also affect us. So some of these effects we can’t see, some of the effects we have seen for years coming. And neurostimulation investments we have made have mitigated a very large percentage of them and these products have – this market analysis we have done took years for us to do and execute against. So I think we are strategically very well positioned for the realities of cardiac rhythm management market and also some of the pressures that will come forward. And I think we have invested correctly in neuromodulation. I mean had a whole other levels of this which is now that we have both the combined portfolio of technologies between both Lake Region Medical and Greatbatch, we can serve both of those markets more comprehensively and drive more productivity for our customers. So we are actually not only in a better position with regards to neuromodulation, but also cardiac rhythm management. But we still think cardiac rhythm management is very cost focused across all the way from clinical, all the way down to medical device outsourcer, so we feel it could be very challenging to grow in that segment. And we feel in neuromodulation because of the integration of system strategy now the combination of our product portfolios both Lake Region and Greatbatch, that, that is going to be the growth driver for that product category for us. Very similar technologies in terms of the underlying components of the subsystems, implantable pulse generators, lead-wires we just think we can tackle it more comprehensively. So, we can kind of hold our position in cardiac rhythm management with our five partners under long-term agreements even though they are going to be very cost rationalization focused and we are going to have maximize our opportunities developing systems and ramping revenues and getting them our neuromodulation customers through their regulatory windows, so we can enjoy the benefits of all the investments that we have made. But it is a kind of a very different tale between those two markets even though we have the same product category because of the same technologies. So hopefully Greg, that helps.
Greg Chodaczek: And it does, Tom. And so what I am hearing from you is, for the CRM business, the use of basal analogy we are in the late innings for your – neural stem is very early on. And then I guess the follow-up question is if I look at cardiovascular and advanced surgical orthopedics and portable, where do you see those businesses, somewhere in the middle of the two?
Thomas Hook: Well before I come on cardiac rhythm management, I am going to give you an X factor here Greg, to think about. The miniaturization of cardiac rhythm management devices as you know from various products that have been in the process of launching, both in the monitoring side as well as the pacing, undoubtedly will go to other areas, are really some breakthrough innovation that could significantly change how cardiac rhythm management therapies and monitoring has delivered, diagnostics has delivered. That presents opportunities to neuromodulation, really some breakthrough innovations to potentially change advance for technologies and also the prospects for us. That would reinvigorate some of the cardiac rhythm management product lines going forward. Now being a bit of a pessimist we are not planning on those things. We see that there is a lot of very innovative work that we are involved in those areas. We are not counting on it for the future. We could expect that could get positive influence but due to the size of that market and obviously very mature market in late innings, innovation at that level expected that miniaturization is very exciting. But due to the magnitude of that market relative to the neuromodulation it’s hard to make a deal grew to higher rates. Where I see areas like vascular and our cardiovascular business is I see an enormous opportunity for medical device outsourcing from those market areas. Clearly Lake Region Medical was very well positioned in those market areas. Traditionally, legacy Greatbatch is an extremely small player of only a couple of product lines. So the combination of those product lines along with the legacy of Lake Region product lines gives us the commanding product offering to attack very mature markets like interventional cardiology but also growing markets in a much structural harp. There we could end up taking up a lot of medical device outsourcing business with our customers not only at the component level, but at the integrated to medical device level. So there, we see a – while we are a much bigger company with four product capabilities from the components to devices, you see that the opportunity according to our customers the tier markets, as well as high growth markets is the ceiling is very high and we have a lot of room to grow. And I would say this similar scenario was of orthopedics, while we don’t have full device capabilities in orthopedics. We have a lot of growth opportunities with customers with the combined portfolios was about even between legacy Greatbatch and legacy Lake Region putting our portfolios together and we have some key enabling technologies, we are going to move up the food chain of Orthoaedics. So there we get actually not involved integrated medical devices with our customers yet. And we have to do that over time. But again, as the opportunity in orthopedics is really doesn’t have any limit like it does really in cardiac rhythm management where we already have all the CRM customers on contract, we do a lot for them already and there is less opportunity to grow. I also think that health of the orthopedics business given innovation and the trend in outsourcing driven by the combination of a lot of OEM companies is going to continue to drive growth in their medical device outsourcing business which helps us.
Greg Chodaczek: And one quick follow-up Tom, in terms of synergistic revenue opportunities, how long do you think that takes, I know this is a month into it, how long do you think that takes to actually gain some of those?
Thomas Hook: Yes. So for a week, we originally provided information on the deal [Technical Difficulty] action that’s probably being a bit conservative, so we are actively very engaged with customers right now. But because of the nature having to qualify get regulatory approval, those revenue synergies will tend to come out in year three and beyond. We see a host of opportunities to do that. It’s just that kind of 12 months to 24 months of regulatory cycle is kind of the headwind. We know the demand is there for it could. We just got to get – it somewhat doesn’t even require technical development. It just requires legacy Greatbatch, legacy Lake Region to put the product lines together into subassemblies and some times devices and then go through that regulatory journey with the customers and get the individual facilities approved. So we push those revenue synergies out past year three for conservativeness. But we see a host of opportunities in most of the product categories with regards to this that I even included Electrochem in there which was the first question that came for Charles, I see opportunities to do that in the non-medical business as well.
Operator: Thank you. And our next question comes from the line of Jim Sidoti from Sidoti & Company.
Jim Sidoti: Good afternoon, can you hear me.
Thomas Hook: We can Jim.
Jim Sidoti: Great. I joined the call a little late did you give a pro forma operating margin for the quarter?
Michael Dinkins: Pro forma for the…?
Jim Sidoti: For the fourth quarter, right.
Michael Dinkins: No, I did not, but I can get that for you.
Jim Sidoti: Alright. And how about pro forma tax rate?
Michael Dinkins: Again, we haven’t put our fourth quarter pro forma data yet, but we can get that for you.
Jim Sidoti: Okay. Alright, great. And can you tell me, I understand you are a little hesitant to update the guidance at this point because you have a lot going, but just on a more general basis, I know your leverage ratio was up over 5x now, how many years do you think it will take to get it down to less than 3x?
Michael Dinkins: We are targeting that sometime during the second, third year, that we can get at that rate. We won’t see a large progress in 2016 because of the dividend into Nuvectra and the spin to implement the synergies. But then because we have implemented those synergies and obviously without Nuvectra next year, that will be the focus to de-lever this balance sheet as fast as possible.
Jim Sidoti: So you think you will get there by 2018?
Michael Dinkins: We didn’t put a precise year on it, but we are going get there as fast as possible.
Jim Sidoti: Alright. Thank you.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the call back over to Tony Borowicz for any closing remarks.
Tony Borowicz: Thank you, Karen. And again, I would like to remind everybody you can access the audio portion of this call and the slides on our website at greatbatch.com. They will be there for the next 30 days. Thank you all for joining the call today.